Operator: Greetings. Welcome to International Money Express Third Quarter 2020 Earnings Conference Call. At this time, all participants will be in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] At this time, I will turn the conference over to Mike Gallentine, Vice President of Investor Relations. Please go ahead.
Mike Gallentine: Good morning, everyone, and welcome to our quarterly earnings call. This conference call includes forward-looking statements, including our fourth quarter guidance. Actual results may differ materially from expectations. For additional information on international Money Express Inc., which we refer to as Intermex or the company, please refer to the company's SEC filings, including the risk factors described therein. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements on this call are based on assumptions and beliefs as of today. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements. We undertake no obligation to update such information, except as required by applicable law. On this conference call, we discuss certain non-GAAP financial measures. Information required by Regulation G under the Securities and Exchange Act with respect to such non-GAAP financial measures is included in the presentation slides for this call, including reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. These can be obtained in the Investors section of our website at intermexonline.com. Presenting on today's call will be our Chairman, Chief Executive Officer, President, Bob Lisy; and Chief Financial Officer, Tony Lauro. Also on the call today is Joseph Aguilar, Chief Operations Officer; and Randy Nilsen, Chief Revenue Officer. Let me now turn the call over to Bob.
Bob Lisy: Good morning, and thank you all for joining us today. We have a lot of great things to talk about and look forward to answering your questions following our prepared remarks. Before we dive into the results, though, I would like to thank our employees and our agent partners for all their hard work in making our results possible during these challenging times. Now, I will start on Slide 3 by highlighting some of the record quarterly financial performance. Intermex generated record net income of $9.5 million, which is an increase of 135% versus Q3 2019. Adjusted net income of $12 million, an increase of 28% over the prior year quarter. Revenues grew 12% to $95.6 million on transaction growth of 13%, driven by an 11% increase in customers. Adjusted EBITDA growth outpaced revenue and increased 16% to $19 million as our focus on efficient growth continues to drive success. We converted the majority of our adjusted EBITDA to $10 million of free cash generation. These totals in revenue, adjusted EBITDA and free cash generation are each quarterly records for us, which is truly amazing given today's macroeconomic backdrop. On the next slide, highlighting some of the keys to our ongoing success. You've heard me say Intermex has been built as a house of bricks. The building blocks are a reputation for quality, service, and dependability with our agents and customers alike. This is combined with the management approach focused on driving profitability and sustainable growth. This is why Intermex has grown profitably in good times and even more importantly, has grown profitably in challenging times. This quarter is a great example of how we have executed this strategy and how we continue to guide us to our future growth. One of the primary ways that Intermex differentiates itself versus our competition is our unique focus and localized approach to agent recruitment. While many competitors focus on ubiquity at the expense of productivity and sound business economics, we focus on agent productivity and ultimately, profitability. Our approach to adding agents uses a variety of demographic data that allows us to activate agents in precise geographies down to and below the ZIP code level in neighborhoods where our customers live and work. This approach to agent recruitment leads to a highly productive agent and feeds directly into profitability and sustainable growth philosophy regardless of market conditions. This is why the average Intermex retailer produces many more wires than those of our competition. Our state-of-the-art technology enables and empowers our high-quality agent partners to produce transactions at the point-of-sale much faster with greater ease and efficiency. The retailer can process a face-to-face transaction with the consumer in a fraction of the time that it takes with our competitors. Another way Intermix differentiates itself, mostly versus our smaller independent providers is that we are well capitalized and able to prefund our wires without any issue. This means the funds will always be available to the recipient on desired. This saves both the sender and the retailer from potential concern as to whether the ware will be available when promised. The lack of this availability can cause the sender to cancel the remittance and resend it with an ultimate provider. This process can take on a life of its own and may take minutes or longer to get the appropriate person on the phone at the competitive providers offices and ultimately days to get the fund -- the wire refunded. This customer focus is also apparent in our customer care with an average telephone answer time of under 5 seconds, while competitors can take minutes to do the same. This is a critical differentiator, given the majority of our agent business occurs during the peak times throughout the weekend. Our system creates faster and more efficient process for both the consumer and the agent retailer. And unlike many of our competitors, our customer service is located in the 2 largest markets, Mexico and Guatemala. As a result, the center and receiver will be speaking to some who has language, cultural, and geographical expertise. This quarter, when much of the country is facing pandemic related disruptions and restrictions, it's a great example of how our unique approach to agents, coupled with our world-class customer service leads to a differentiated business with proven resiliency. As noted on the next slide, this approach has helped Intermex increase our customers 11% to $2.2 million, an increase in remittance transactions by 13% to $8.7 million compared with third quarter last year. We had our second best month ever in the quarter, with August 2020 realizing just under 3 million remittance transactions. Turning to the next slide. As a result of our strong growth in transactions, Intermex once again increased our market share. In our core markets of Mexico, Guatemala, Honduras and El Salvador, we grew our share to 19.2%, up 80 basis points from same period in 2019. We have consistently shown that our unique approach and business model can increase market share in good times and in bad times. We've experienced continued strength in remits demand. As we begin the fourth quarter, October has come in very strong. We exceeded 3.1 million remittances in the month, up over 19% versus October 2019. This is the company's best month ever. This strong rebound in growth in remittances is also very evident in our emerging and newer markets, which include those in Africa. As we've seen on the chart, while we dipped down in Q2, these markets are now growing remittances quickly as they were in pre-pandemic. On the next slide, we continue to experience strong growth in mobile app with a number of customers using the app increasing 48% and transactions up 142% compared to the prior year. We have increased our focus and investment in our digital offering. During third quarter, we hired a Vice President of Digital and Director of Digital Marketing to help bolster our growing digital organization. We also signed an agreement with the developer, ArcTouch, for a comprehensive enhancement of our mobile money transfer app. This improvement of the user interface will further enhance the functionality and ease of use of our mobile app. I want to reiterate that we believe, especially for most of the Latin American corridors, our brick-and-mortar business model will continue to be the primary method to send money for years to come. Having said that, we believe that it is critical for the company to have a strong product offering on both the cash and digital side of the house. We will continue to focus on the digital opportunity while delivering transaction growth, profitability and cash flow from our traditional business. In closing, the underlying appeal of our business model with superior service quality and highly productive localized agent network, enables the company to deliver consistently strong financial performance. We remain confident that our philosophy and dedication to profitability and sustainable growth will continue to drive significant competitive advantage for Intermex during these uncertain times and beyond. Before I turn the call over to Tony, as you know, this is his last quarterly earnings call with Intermex, and I would like to thank him for all of his contributions to our success over the last 2-plus years. Tony has done an excellent job with our investors and our coverage analyst and was a key member of the management team as we moved Intermex into the public company status. The management team, the Board of Directors and the employees all wish Tony continued success and good health as he moves to his new assignment. With that, I'll turn the call over to Tony.
Tony Lauro: Thanks, Bob. And I would just like to say, I'll always cherish my time at Intermex, and I've enjoyed working with and learning from a wonderful group of people here. I'm leaving confident that together, we've laid the groundwork for continued success and growth at Intermex. Good morning to all the analysts, investors, and customers that have joined us today. Turning now to Slide 8. Let's walk through our third quarter results in more detail. As Bob mentioned, we had a record third quarter across many of our key metrics, which is remarkable, considering most of the country is still operating at limited capacity, while last year, everything was normal. It's a true testament to the strength of our business model. In the quarter, we generated record revenue of $95.6 million, an increase of 12% over the prior year quarter, driven by the growth in customers and transactions. The increase in revenues, coupled with continued focus on efficiency, helped generate record adjusted EBITDA of $19 million, an increase of 16% over the prior year quarter. This growth outpaced revenue growth as we continue to generate leverage from the continued migration to lower cost deposit services and negotiated payer fee reductions. Additionally, we continued to benefit from other reduced expenses, including travel. Adjusted EBITDA margin for the quarter was 20%, a 69 basis point improvement compared with the third quarter of last year. This adjusted EBITDA margin is exceptional for a public company of our size. However, we expect adjusted EBITDA margins to come back in line with our historical results as we invest in our digital offerings and other growth initiatives, employees begin to travel more and our hiring accelerates. I will touch on this more when we get to Q4 guidance. In Q3, we delivered record net income of $9.5 million, an increase of 135% and adjusted net income of $12 million, an increase of 28%, both compared with the prior year period. Driving this increase was the adjusted EBITDA growth I just noted, coupled with lower legal expenses and continued decreases in intangible amortization and interest expense compared to the prior year period. We will continue to see lower amortization as the intangible assets recorded in 2017 run off on an accelerated schedule. These current quarter decreases were partially offset by higher income tax expense. Our business model continues to be an extremely capital-efficient operating model in terms of converting adjusted EBITDA to free cash generation. Turning to Slide 9. In Q3 of this year, we converted 55% of our adjusted EBITDA to free cash, resulting in $10.5 million in free cash generation this quarter, a 79% increase over the same quarter last year. In the prior year third quarter, the company converted 36% of its adjusted EBITDA to free cash generation. We feel that our profitability and free cash generation are differentiators that strategically position us to fuel future growth. In terms of our uses of cash, we continue to invest in our existing business and technology and look for opportunistic accretive acquisitions in brick-and-mortar as well as digital and ancillary products. On Slide 10, for our guidance, we're assuming the country does not experience a significant shutdown of business activity, especially essential businesses due to the ongoing pandemic. Currently, based on recent trends and some historical seasonality, we expect to generate fourth quarter revenue of $93 million to $95 million and adjusted EBITDA of $16.5 million to $17 million. These ranges accrete to 12% to 14% Q4 revenue growth year-over-year and 17% to 20% adjusted EBITDA growth year-over-year. The midpoints here imply an EBITDA margin of just under 18%. While this is lower than the Q3 performance, it is in line with our historical margins and reflects the investments in our digital product and other technology efforts as well as the success we have had so far this quarter in ramping up the team. Also, as Bob mentioned, in October, we achieved over 3.1 million transactions, which represents 19% year-over-year growth. It's worth noting and celebrating, but this is the first month that we've exceeded 3 million wires in a month. We reached this milestone just 29 months after reaching the 2 million wire milestone in May of 2018. The fourth quarter is off to a good start. In closing, Intermex delivered an outstanding third quarter by all key measures. Our hyper local focus on high-quality, high-volume agents, coupled with great service quality, continues to drive our growth and market share gains all profitably. That same business philosophy will continue to guide our strategy and execution into the future. And once more, I'd like to thank our employees, agents, and customers for the outstanding work they do to make such a critical part of our economy run smoothly during such difficult times. With that, let me turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of David Scharf with JMP Securities.
David Scharf: A couple of things. One, I just wanted to inquire about what you're seeing competitively within your agents. I know during the pandemic, Bob, you've kind of referenced the company's capitalization or liquidity is a factor as [indiscernible] most wires, particularly over the weekend. And have you seen any attrition or fallout among any of the smaller competitors that are resident within your agent base?
Bob Lisy: No. No. Generally, we haven't seen any real fallout, meaning there hasn't been anyone going out of business. There was a really small localized company in the Chicago area that fell out early. What we've seen more is a weakening of some of the competitors' position in the market. It's hard to tell how much of that has been recovered, right, as the market's gotten -- started to get better, and they've started to adjust. But what we did see were things that were indicative of that. Most of the small competitors and even some of the large public companies through parts of the pandemic had either laid off parts of their sales force or cut their commission plans at Salesforce, cut salaries, which we feel was part of the overall sort of demotivation times of those teams, and that was something we exploited. I think for just a little bit more color, I'll turn it to Randy, though, who's obviously, our Chief Revenue Officer and probably can add a little color on that.
Randy Nilsen: Yes. Thank you, Bob. David, I would just add that Transfast, they kind of shut down their U.S. business here in mid-summer months. So there was some opportunity for us to pick up some business that they moved out of their locations. And secondly, there was kind of a mixed bag of dynamics that we saw from the smaller competitors in terms of not necessarily like we saw in April, where they were having a hard time funding their transactions, but just having relationships problems with some of the payers, which gave us an opportunity to pick up some business from them. So it seems like there's always someone that's stumbling a little bit that gives us an opportunity. And we, like always, try to take full advantage of it.
David Scharf: Got it. No, no, that's helpful. I mean sounds like it's probably a pretty static situation right now. Just as a follow-up, different question. Just to help us frame the market penetration. We appreciate the transaction growth for the emerging markets. Can you update us on what mix of your transactions are represented by the emerging markets that you define?
Bob Lisy: Yes. We haven't typically disclosed that. It's a significant share at this time. But just let me start off by saying when you think of all the money that's sent to Latin America, 75% of the money from a market perspective goes to Mexico, Guatemala, El Salvador, and Honduras. We're a little bit higher indexed in those areas than the market would be, but not tremendously so. And those emerging markets, countries like Dominican Republic, Nicaragua, Peru, Ecuador, Colombia are growing much faster than the 4 core markets that represent for the overall marketplace, 75%. And we think that there'll be the keys to today, we have an overall market share to all of Latin America, probably of around 15%. We don't typically disclose or talk about that. So that's basically a ballpark. But we think a lot of the growth to get us to 20-plus percent in Latin America overall will come from markets like that. Some of those are growing really quickly, and we just don't want to denote them as a shout out to our competition and which of our markets are growing very quickly. But as a group, they're a significant part of the business and will become a bigger part because they're going to grow a lot faster than the core business is.
David Scharf: Got it. Understood. And maybe just one final question for Tony, kind of appreciate the input on some of the investment spending and other factors influencing fourth quarter margins. Not aiming to pin you down on guidance beyond the fourth quarter. But as you think more broadly about the next kind of 12, 18 months of investment spending, whether on digital or otherwise?
Bob Lisy: Yes. I mean, I think that's a tough question for Tony, Mike, just since this is his last call, right? So I think we are going to be investing in digital next year to a much higher level. We've already been investing in it because we've brought on ahead of our online business, who's going to be our General manager, really, if you will, he's called an executive VP, but he's really the general manager of the online, someone that worked for a number of years at Western Union along with a head of marketing to do digital marketing. We've also invested, as you heard in our opening remarks on an outside provider that's helping us really bring the front end of our digital business up to speed, bring it up. So it's just as much as state-of-the-art as our over-the-counter solution is to the online brick-and-mortar business. We've always had the back end of that business, just like the back end of our brick-and-mortar business has always been industry-leading with our very quick customer service and resolution of problems and issues. So we haven't gotten to the point we could give you a specific number. But what I can tell you from a strategic perspective is it's critically important, and I can't stress this enough because a lot of the marketplace has been misled, and I've been saying it for years, and today, you still have less than 20% of all wires going to markets like Mexico, Guatemala and others, in the online business. And we continue to flourish and take share and grow at brick-and-mortar. The people that are going to do well are going to balance that portfolio. It's not going to be the single trick ponies that are out there only doing online. And some of our public company competitors now are, I think, really, really too focused on the line, and we're happy they're doing it because their share of that retail is starting to really fall off. That's going to be the cash cow for future growth. I mean that's going to be the thing that delivers the EBITDA we delivered this year and the cash percentage that we deliver from that. And so we're going to invest in online because we know that it's important to have a balanced portfolio, but we haven't gotten to the point that we could tell you what that number is over and above the investments we've already made, which already -- a lot of those are already in these numbers. I mean, the CapEx for our third party provider, you're seeing in these years' numbers. The salaries for these 2 guys, senior guys we brought in, they're already there. I mean the big piece that will happen next year is an investment in online will be our marketing efforts, which will be enhanced quite a bit. And right now, we work on trying to drive our revenues back up to levels before COVID. We want to get them up several percentage points. We're not predicting that now, but that's where we would need to be. And from that, we'll have the resources necessary to invest in online to build that business the way we want to have a very balanced portfolio, which will be critical for -- I can't book out 10 years, but the next 5 years, if you're not a brick-and-mortar, you're not going to be a competitor in Mexico. You're not going to be a competitor in Guatemala. You're not going to be a competitor in El Salvador and Honduras. As matter of fact, you're going to be competing in the second -- for second place because online right now is a tiny fraction of that business. And again, we know it's going to grow faster than the brick-and-mortar, and that's why we're going to invest it.
Operator: The next question comes from the line of Mark Palmer with BTIG.
Mark Palmer: Kind of dovetailing on what you were just talking about with regard to online. If you can talk a little bit about the profile of the online users who have come to the platform, the extent to which there's overlap with your existing users? Or are they simply distinct?
Bob Lisy: Yes. We believe that the customer is slightly different than the customer that's at brick-and-mortar. For one reason that the difference is that we know a large share of our customers that are brick-and-mortar do not have access to the necessary banking to be able to do an online transaction. So they don't have an ATM card. They don't have a checking account. They don't have a bank account of any type. So that's the first way that they would be different. We've always talked about that we don't see technology as the obstacle for people to come online and do a transaction. We believe most of our customers that are at brick-and-mortar have smartphones. It's really a key part of their life. It's how they stay in contact with loved ones back home. It's really the centerpiece of their overall existence probably here in the U.S. We are seeing some people that actually do both. Go back and forth between online and brick-and-mortar. We're also -- we also believe that there's a -- that opens you up to customers who have potentially in the past been customers of other online services and also banks sending wires through the banks today. So that could be someone who's a professional working here in the U.S. and sends money back home to Mexico, but never went into brick-and-mortar. So right now, our customers are more segregated than they possibly will be over time. One of the keys for our business is we want to continue to respect the quality of our brick-and-mortar business and sort of the sanctity of those 3.5 million or 4 million customers a year, but also be there for those customers as they want to move away from brick-and-mortar to online, of if they occasionally want to do that. We want to do that with a lot of reverence towards our agents because they're a key part of our business. So we haven't really done much marketing, if any, to our brick-and-mortar customers. We're operating and marketing to customers as if we're a separate online solution. We're going to figure where our position lies with that over time. But as I said, we feel it's really important to be really strong in both. We think the cash that provided from that online -- I'm sorry, from that brick-and-mortar business is critical to the online business. And we want to make sure that we continue to preserve that while building the online. So for now, I think it's they're more really 2 separate customers with a little bit of overlap.
Operator: The next question is from the line of Mike Grondahl with Northland Securities.
Mike Grondahl: I know you don't give agent count numbers, but could you kind of talk directionally about agent adds recently? And how that maybe compares to like a 3-year average? Are you kind of above or below?
Bob Lisy: Yes. Yes, yes. And I'm going to turn it to Randy again to do that. But I think we've got a number of programs that we put in place that are augmenting against sort of the dip that we had, obviously, as everyone had in second quarter when our field team wasn't out in the field, even though we're still putting up retailers, it was at a slower pace. We've started to rebound now, and I think Randy will talk more about that. But we have a couple of other programs that we put in place with our agent retailers that have been really successful, and that really helped sort of bridge the gap. In the meantime, that's increased the production level of under-producing agents while we begin to bring in new agents again. But I'll turn it over to Randy, and I think he'll have more to add on that.
Randy Nilsen: Thanks, Bob. Bob is exactly right. So we did see a little bit of a dip in our new agent activations in Q2. And in Q3, where the last 2 months were right where we would have expected to be. We're right in line with where we've been historically in terms of activations on a monthly basis. That continues to be one of our very, very top priorities, and we'll finish the year strong with agent activations as well. Bob's right, during that time, when we were working primarily out of our homes, instead of being out in the field prospecting new agents, we put a couple of programs in place, and we really focused on our underpenetrated agents, and we've been able to get substantially more business from those agents, which really does offset the dip we saw in the new agent activation. So we're pleased with where we are right now in September, October, heading into November but on both fronts.
Mike Grondahl: Got it, great. And any quick update on Africa and Canada?
Randy Nilsen: Sure. Africa, we continue to build out our in-country network. We've added some really great new payers over the last quarter or 2 that will give us -- will allow us to be much more competitive in some of those African countries. So we like what we're seeing to Africa. In Canada, and both -- I'll back up a little bit in both Africa and Canada, we were able to -- I mentioned earlier, we were able to pick up some business from Transfast who had kind of moved out of the U.S. and Canada marketplace, which were really significant contributors on an agent by agent basis. So we're seeing good growth in Canada and Africa. We're seeing good growth, primarily because of the payer network, we continue [indiscernible] in country.
Operator: [Operator Instructions] The next question is from the line of Josh Beck with KeyBanc.
Josh Beck: Thank you for taking the question, and Tony, best of luck in the new role. Yes, I wanted to ask about just kind of the consumer behavior. Obviously, in the last 90 days and 180 days, there's been dramatic shifts and it's rippled all sorts of different ways. So I'm just kind of curious with your consumers, obviously, you saw a really nice bounce back in Q3. That's probably earlier than what maybe many other sectors are seeing. So just curious if there's any changes in the consumer behavior that have really surprised you just in the last 3 months or so.
Bob Lisy: Yes. I think a couple of things about the bounce back. I mean, first of all, I think we had a pretty sharp V in our industry. Late March and April were really horrible, may started to come back already, and it's been a pretty steady climb. So as we started to get into even late second quarter, we started to feel pretty strongly that our business was coming back. And generally, Mexico has been sort of at the front end of that in terms of overall money going to a marketplace. So that's been pretty strong. Mexico has had more of a constant sort of open philosophy related to the payers. And as a result of that, there's been less change in the patterns of sending money there than maybe some other countries. We have seen some countries that have had periodic shutdowns where they just shut down the banks, let's say, on the weekend or retailers on a weekend. And we'll see the money that was more heavily sent on a Friday or a Saturday shift to Sunday and Monday, just because there's not the hurry to send it because the loved one can't pick it up. So whereas we didn't really see a lot of difference in terms of the number of wires being set, certainly, our growth rate is a little slower, we think than what it would have been without COVID. What we saw more so is in certain countries, a Sunday and a Monday became the much bigger days than they've been and Friday and Saturday slowed down a little bit, particularly to certain countries, but we think that was just a matter of if my wife or other or whomever can pick up the money on Sunday, there's no point in me hurrying to send it on Saturday. I can send it Monday morning, and she'll still get it Monday because that's when the bank is open or the retailer is open. So that's been the biggest thing. Actually, the number of usages of our consumer actually went up a bit in third quarter. So our consumers were more active. We added consumers. We had new consumers versus the previous period, but they were also more active. So those are 2 good signs. We sometimes add consumers when we add retailers in geographies where we haven't been before, and maybe our brand wasn't accessible to that consumer previously or just a consumer that comes into a retail location where we've been but hasn't accessed to us before. So there's not really been any really big shifts in sort of the consumer behavior. We think we're starting to see, as Tony indicated, and I mentioned October had been our best month ever. It's the first time we sort of rounded up or at least the marketplace rounded up for us. We reported almost 3 million wires last -- in August, and the market kind of threw out that we did $3 million, but this is the first time it's beneficial, and we actually did over $3.1 million. And the growth rate in October of over 19%, we're really optimistic about how we can continue to bring the business back. And it's -- Mexico has remained strong. But in addition to that, we've got some really good other countries now beyond our core 4 countries that are growing really quickly. And whenyou look at our deck, you'll see that there's a big rebound from second quarter to third quarter in terms of the growth rate of those emerging markets, which is really everything other than Mexico, Guatemala, El Salvador, Honduras. We really started to grow them and almost doubled the rate we were during the pandemic.
Josh Beck: Really helpful. Thanks, Bob. I also wanted to ask actually on that slide about the core markets and the share. You obviously had a really successful track record over the last multiple years. If you really assume it in the last couple, it seems like in 2019, you gained about a percentage, a little bit over market share. The data, like you said, it's still kind of developing as we close out the year, but it certainly seems like you're on good momentum to maybe do another percent this year. Is that a good cadence just to think about how the market could unfold?
Bob Lisy: Yes, I believe it is. I mean, we're still gaining share, I know in Mexico and Guatemala, even though those 2 countries together, we have well over a 20% share. But I think it's driven a lot by when you're growing 35% in those emerging markets. And it's a significant amount of the business for us. It's several hundred thousand transactions. So when you're doing that, I mean, you're really gaining share pretty quickly in those markets. Some of those markets in third quarter barely grew, while we grew 35%. So that's been really something that's helping bolster the growth a little faster. Additionally, when you look at, we're actually growing faster as the year goes on. So if you looked at our quarter-to-date, in those core markets, we look and we don't have the numbers. They're not official yet for September. So if we look at quarter-to-date, meaning July and August, in those two months, our market share in our core markets are 19.9%. So they're actually up even more. So as the year has gone on, we're even building up a little bit more steam related to our core markets. And we think that in those, we're adding now more than 1% to our market share. And then we're gaining market share really in large measure in those emerging markets because there probably is an aggregate growing less than 10%, and we're growing of about 35%. So we think there's a lot of room there. There's a couple of countries there. I mean, Dominic Republic is a huge market, and it's underpenetrated by us, and we've been doing pretty well there. Colombia is a large market. Nicaragua is a decent size. There's a lot of opportunity for us. And it's not to say that's the only opportunities we have. It's just some of the opportunities in our traditional business. Africa, Joseph and his team have been doing a great job in working through some better payer relationships in Africa. We're working on also a strategic partnership that might access to really extremely good payer relationships in Africa, which will speed up the growth there. And we've got opportunities. We now process for a company out of the Philippines. So, there is opportunities for us to begin to look -- go to the Philippines directly ourselves in other Asian markets. So, what we want to do is make sure we don't put too many plates spinning on the sticks at one time, right, and really don't do justice to. One of the things I think people do is try to -- they don't really thoroughly execute against the market, and they get the next thing going because they don't really succeed, but they want you to forget about how they didn't succeed. We don't really need to get a second plate spinning because we're still winning when it comes to Latin America. We're still building share relating to our core, and we're really, really building share as it relates to our emerging markets. But in addition to that, Africa is going to be a really big opportunity, and we're working through that. We also think Canada outbound. And now we're basically restricted to just one key province, Ontario, but we'll expand that out when we think there's opportunity from Canada, also to other areas of the world, some of which are in Latin America, but might not be Spanish speaking, places like Haiti, Jamaica, and others. So we think there's just a huge number of opportunities for us to continue to grow.
Operator: Our final question today comes from the line of Timothy Chiodo with Credit Suisse.
Timothy Chiodo: I just wanted to dig into online a little bit more. You mentioned that often, the customers coming in are new, or separate, or different customers. That's great color. Maybe we could just talk a little bit about the marketing that you mentioned around the relative levels of return there, tending to repeat those customers coming in. Other competitors have talked about a pretty attractive LTV there, meaning once you get the user into the app, the repeat rates can be high, the LTV can be attractive. Any context to that would be very helpful.
Bob Lisy: Sure. I mean, I'll begin that. And then Joseph Aguilar, our Chief Operational Officer, who's managing the online business. I'll ask him to comment more because he's much closer to what's going on and is leading that effort. We think the online business is really attractive, and we are working through the customer -- it's really about 2 things, right? I mean, at the end of the day, it's about how much does it cost to get the customer and what's the value of the customer once you have them. And so we're working through that. And it's really critical for us to continue to find better ways. And that's part of what we've done in our core business. We found better ways to be able to attack the customer or at least contact ourselves with the customer. For instance, our average retailer does 4x the wires, 3x to 4x the wireless as a competitor because we found new and better ways to access that customer. I think it's really critical for us in that online business to kind of take that same sort of initiative and that same ability to be resourceful to do that because the more effective you can be in that acquisition fee and the better that you can manage those revenues, then it makes sense for you to invest even more, and it just becomes a self-perpetuating business then at that point. So anyway, I'm going to ask Joseph to kind of chime in on that. Joseph, would you like to?
Joseph Aguilar: Sure. Absolutely. So yes, we are working together with some marketing companies to really develop a strategy to target the customers we want to bring into our business. And I think, as Bob stated, we do want to be able to do things differently. But I think on the foundation of the excellent quality of service and the brand image that we project as Intermex, that's going to be key for our success. And that's going to be a big differentiator. We want to be different in this space. We want to project our brand and the quality of service that we provide, and that's going to be key to our success in growing the online business. And that's what we're targeting. As we work with our marketing teams to target the right customer and why are we different? Why are we special, especially in the customers -- for the customers in the markets that we excel in today.
Timothy Chiodo: Great. A brief follow-up. I realize it's a small part of the business, but just given the increasing discussion around neo banks [ph] and digital banking in the sector broadly, if you could give any brief update on the card program.
Bob Lisy: Sure. Absolutely. So yes, our card program, we are looking at a better way to do our card program. Currently, we have a very robust program from a payroll perspective, and we are enhancing our experience for consumers with our GPR card as well. But you bring on neo banks and the expansion of that type of service, not only to our consumers here in the U.S., but also our customers in receiving countries and beneficiaries. So we are looking at how do we create a true enhanced experience by a card for really an unbanked population that needs service both in the U.S. and in the countries back at home. So we are positioned ourselves truly at next year to be able to leverage that vision with our customers in both the send and receive countries.
Timothy Chiodo: That's excellent. And also, Tony, thank you for all the help and all the best of luck.
Bob Lisy: Thanks, Tim. Appreciate it.
Operator: At this time, we've reached the end of the question-and-answer session. And I'll turn the call over to Bob Lisy for closing remarks.
Bob Lisy: Yes. Thank you all for joining us today. We appreciate the questions. And we look forward to talking to you all soon. Have a great day. Thank you.
Operator: Thank you, everyone. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.